Operator: Good morning and welcome to the Chimerix 2013 Third Quarter Earnings Conference Call. Today’s call is being recorded. (Operator Instructions) At this time, I would like to turn the conference over to the company’s Executive Director of Investor Relations and Corporate Communications, Joe Schepers. Please go ahead sir.
Joseph T. Schepers: Thank you and welcome to Chimerix third quarter 2013 conference call. On the call today are Kenneth Moch, President and CEO; Tim Trost, CFO; and Michelle Berrey, Chief Medical Officer. Before we begin, allow me to read Chimerix’s Safe Harbor regarding forward-looking statements. During the course of this conference call, the company will be making certain forward-looking statements such as statements relating to certain R&D programs, including our Phase 3 SUPPRESS trial or future clinical trials of brincidofovir also known as CMX001 and related matters. These statements involve risks and uncertainties that may cause actual results to differ materially from those projected in the forward-looking statements. These risks and uncertainties are discussed more fully in Chimerix’s filings with the Securities and Exchange Commission, including without limitation it’s most recent quarterly report on Form 10-Q, it’s most recently filed reports on Form 8-K and other documents subsequently filed with or furnished to the Securities and Exchange Commission. All forward-looking statements made on this call speak only as of the time they are made and Chimerix undertakes no obligation to update these statements to reflect subsequent events or circumstances. Also I want to point out that company issued a press release this morning containing financial results for the quarter ended September 30, 2013. The press release is available on the company website at www.chimerix.com. At this time, I would like to turn the call over to Kenneth Moch.
Kenneth I. Moch: Thank you, Joe, and thank you all for joining us today. Since our last quarterly conference call, Chimerix has achieved a number of significant value creating milestones in the development of brincidofovir as a broad spectrum antiviral that in our opinion based on the growing body of clinical evidence will change the standard of care in hematopoietic cell transplantation, an area of high unmet medical need. Our first milestone during the third quarter was the announcement in September of the initiation of dosing in our Phase 3 SUPPRESS trial of brincidofovir for the prevention of cytomegalovirus or CMV in HCT recipients, also referred to as bone marrow transplant recipients. I would like to personally and publicly congratulate our clinical and regulatory teams under the leadership of Michelle Berrey and Hervé Momméja-Marin, for achieving this critical milestone on time as we promised during our IPO. CMV, a double-stranded DNA virus causes life-threatening infections in patients whose immune systems are compromised after receiving a transplant or other immune suppressing therapies. There are no products approved to prevent CMV in HCT recipients, because of the bone marrow and kidney toxicities of available antivirals, and even with currently available medicines, there is mortality rate of approximately 20% during the first year following the hematopoietic cell transplant procedure that is independent of an addition to the mortality and morbidity from relapse of the underlying disease. This 20% non-relapse death rate, non-relapse mortality rate, is caused by post-transplant complications, including viral infections, in particular, CMV, as well as bacterial and fungal infections and graft failure. It is a tragedy for patients undergoing transplant and is one of the prime reasons that many patients decline to have an HCT to treat their cancer or genetic disorder. Based on the positive Phase 2 study results of brincidofovir and the study design for SUPPRESS, we are optimistic about the likelihood of positive results from the SUPPRESS trial and the potential for brincidofovir to provide a meaningful benefit to patients. Our second milestone during the quarter was the publication of positive – of the positive results of Study 201, our Phase 2 study that evaluated brincidofovir for the prevention of CMV in 230 HCT recipients in the September 26 issue of the New England Journal of Medicine. Publication in the New England Journal is a further indication of the unmet need that exists in the prevention of CMV. A search of Phase 2 studies published in the New England Journal of Medicine over the past decade, reveal that only a few dozen articles have been published on the results of Phase 2 studies. This underscores the importance of brincidofovir and its potential to transform patient care in this area of high unmet medical need. The third milestone for the quarter was the presentation of data from Study 202, our Phase 2 Study of brincidofovir as a preemptive therapy for adenovirus and this was published – this was presented in an oral late breaker session at the Interscience Conference on Antimicrobial Agents and Chemotherapy, otherwise known as ICAAC. In this small exploratory study, brincidofovir showed potential clinical benefit in reducing progression to adenovirus disease and in all-cause mortality. Later during the call, Michelle Berrey will discuss our strategy to build on this broad spectrum activity of brincidofovir for other double-stranded DNA viruses and in other patient populations. In addition to the activities I just described, we continue to work with BARDA, the Biomedical Advanced Research and Development Authority, to advance brincidofovir as a medical countermeasure against another double-stranded DNA virus, smallpox. We expect to begin pharmacokinetic studies in healthy and infected animals during the fourth quarter of 2013. These studies will support the design of pivotal efficacy studies planned for 2014. And this morning, we announced a newly issued composition of matter patent that further expands and strengthens our portfolio of patents that provide exclusivity regarding the making, using or selling of brincidofovir. With the addition of the newly issued patent, composition of matter patent exclusivity in the U.S. is expected to extend to August 2031. We currently have applications related to the U.S. patents that are in various stages of examination in numerous jurisdictions throughout the world and we continue to look at – look for new opportunities to supplement our current portfolio of patents covering brincidofovir. We believe that the extension of our composition of matter patent coverage in the U.S. by an additional 10 years add significant value to the commercial potential of brincidofovir. And finally, on October 23, we completed a secondary offering of approximately of 2.5 million shares of common stock held by certain of our existing shareholders. Chimerix did not issue any shares of common stock and we’ve received no proceeds in connection with this offering. The principal purposes of the offering were to facilitate an orderly distribution shares and to increase our public float. We were quite pleased with the level of interests from high equality institutional investors in our secondary offering. Looking forward, my colleagues and I on the management team are confident and enthusiastic about the company’s future prospects. While the first indication, we are pursuing for brincidofovir is for the prevention of CMV in HCT recipients, our overarching, broad reaching goal is develop brincidofovir as the first broad spectrum antiviral for the prevention and treatment of clinically significant infections, diseases and disorders caused by double-stranded DNA viruses. We as a management team are committed to executing on our clinical and corporate objectives and we will continue to be proactive with the financial community, keeping you apprised of the latest developments at Chimerix. Along these lines, we will be presenting at the Piper Jaffray Conference in New York on December 4 and at the JPMorgan Conference in San Francisco in January. I will now turn the call over to our CFO, Tim Trost, for a review of the financial results for the third quarter 2013. Tim?
Timothy W. Trost: Thanks, Ken. As Joe mentioned in his introductory comments, earlier today, we issued a press release detailing our financial results for the third quarter of 2013. Starting first with our balance sheet at September 30, 2013, reflected a $106.9 million in cash, cash equivalents and short-term investments; $11.3 million in debt and $26 million in outstanding shares of common stock. Turning to the statement of operations and comprehensive loss for the third quarter of 2013 we reported a net loss of $6.7 million or $0.26 per basic and diluted share. During the same period in 2012, we recorded net income of $11.1 million or $6.70 per basic share and $0.11 per diluted share. The third quarter of 2012 was profitable on a standalone basis and therefore included both basic and diluted net income per share. The year-over-year change from a net income to a net loss is due to the one-time payment of $17.5 million related to the exclusive license of CMX157 to Merck in the third quarter of 2012, as well as a decrease in the third quarter of 2013 in reimbursable expenses associated with our ongoing contract with BARDA. Total revenues for the third quarter of 2013 decreased to $912,000, compared to $20.9 million for the same period in 2012. As previously mentioned, we received a one-time upfront payment of $17.5 million from Merck in the third quarter of 2012. Revenues from both quarters included contract revenue from BARDA. Research and development expenses decreased to $5.3 million for the third quarter of 2013, compared to $7.7 million for the same period in 2012. The variance is related to decreased clinical trial and manufacturing expenses, the [latter] [ph] related to BARDA during the third quarter of 2013 as well as a decrease in license fees associated with CMX157. Looking forward, we continue to expect R&D expenses to increase, as we increase activities associated with our Phase 3 SUPPRESS trial. General and administrative expenses increased to $2 million for the third quarter of 2013, compared to $1.8 million for the same period in 2012, primarily due to increased costs associated with operating as a publicly traded company. Interest expense increased to $270,000 for the third quarter of 2013, compared to a $130,000 for the same period in 2012. This increase is due to the larger outstanding loan balance in the third quarter of 2013, as a result of a draw down of a $12 million second tranche of venture debt late in the third quarter of 2012. As a reminder, the third quarter results as well as this morning’s announcement are available on the Investors section of our website. I would now like to turn the call over to our Chief Medical Officer, Michelle Berrey.
M. Michelle Berrey: Thank you, Tim. The third quarter of 2013 was a significant one for Chimerix and for our clinical program. This morning, I’d like to update you on three topics: Our Phase 3 SUPPRESS trial for CMV prevention, the results from our Phase 2 trial in adenovirus, and our strategies to continue to build on the broad spectrum activity of brincidofovir for double-stranded DNA viruses in transplant recipients and other populations. As Tim mentioned, in September, we announced that the first patient had been dosed in SUPPRESS, our Phase 3 trial of brincidofovir for CMV prevention. Enrollment of the planned 450 subjects is continuing and on track to deliver pivotal data in mid 2015. Positive results from SUPPRESS, which confirm the safety and efficacy of brincidofovir could lead to the first approval of an antiviral for CMV prevention in HCT recipients. In this era of groundbreaking antivirals, CMV infection remains the single largest contributor to non-relapse mortality in the first year following transplant. In our recently published Phase 2 study, brincidofovir 100 milligram twice weekly, the dosing regimen that is being studied in SUPPRESS demonstrated a clinically and statistically significant reduction in the rate of CMV reactivation in high-risk patients. The antiviral potency, even broad spectrum antiviral potency, is only part of the brincidofovir story. Brincidofovir’s hematologic safety demonstrated to-date with our safety database of nearly a 1,000 patients has allowed dosing in SUPPRESS to begin in the first days after transplant versus after engraftment and may prevent additional CMV reactivation event, which can occur in the first weeks after transplant. Our belief in the high probability of success for SUPPRESS is based on the generally higher success rate for any infective as well as the consistent study design and high risk population common to both the Phase 2 and the SUPPRESS trial. To recap, the study design, SUPPRESS subjects are randomized to receive brincidofovir 100 milligrams twice weekly or placebo for the first 14 weeks after their transplant and will continue in the trial until week 24 post-transplant. The primary endpoint of the trial is CMV reactivation at any time through Week 24 post-transplant. The study is powered to demonstrate a 50% reduction in the rate of CMV reactivation for the subjects randomized to brincidofovir, compared to the placebo recipients. The pre-engraftment dosing incorporated in SUPPRESS may further differentiate brincidofovir’s antiviral benefit by including data from the first four weeks after transplant, but the potential for these additional CMV events was not included in the assumptions for powering calculations. A validated and standardized measurement for CMV viremia has been approved by the FDA since the completion of our Phase II study and the Roche TAQMAN PCR assay for CMV quantitation will be used for the primary endpoint for the trial. We have created and incorporated a safety monitoring and management plan our SMMP. Those clinicians identify and manage potentially drug related diarrhea and to reduce the risk of early discontinuation. The SMMP was successfully incorporated in the recently reported Phase II trial in the adenovirus infection, providing guidance on clinically differentiating drug related diarrhea from other etiology and allowing temporary dose interruptions to allow symptoms to resolve. With incorporation of SMMP, only one subject in the adenovirus trial discontinued early for drug related diarrhea. For SUPPRESS, we believe the combination of the SMMP along with personalized clinical support for investigators with less experience with brincidofovir will significantly reduce the risk of permanent discontinuations. SUPPRESS was designed and powered to demonstrate the safety and efficacy of brincidofovir for CMV prevention. Secondary endpoint includes prospective assessment of renal, GI and pulmonary function, mental status and memory. Additionally, blood and other body fluids and biopsies are being stored for viral analyses. As many of the double-stranded DNA viral diseases have little available epidemiologic data, the likelihood of demonstrating a statistically significant impact of brincidofovir on any specific double-stranded DNA viral disease is unknown. However, brincidofovir’s direct impact on decreased reactivation of CMV and other latent herpes viruses and indirect effect of decreased bacterial, fungal and protozoal infection increased the likelihood of demonstrating significantly improved healthcare utilization and potentially improved non-relapse mortality. In order to achieve traditional approval for CMV prevention, a second confirmatory trial of brincidofovir should be underway as the time of the NDA filing SUPPRESS. A confirmatory trial should establish the correlation of CMV viremia with CMV disease. The significant rate of CMV infection and disease in the solid organ transplant population let us to focus our regulatory discussions for our second pivotal trial for CMV prevention on patients to highest risk of CMV and other viral diseases. Renal transplant recipients represent a growing patient population with approximately 20,000 transplants per year in the U.S. and nearly 100,000 patients on the waiting list. Although graft survival has improved less then 50% of the transplanting kidneys survive 10 years. Viral infections with CMV and BK virus, a double-stranded DNA polyomavirus play a major role in graft loss. The renal transplant population may provide an opportunity to evaluate brincidofovir’s impact on prevention of CMV in addition to graft survival, preservation of renal function, emergence of diabetes and other clinical outcome that have been attributed to BK virus and other double-stranded DNA viruses with no currently available therapy. Assuming our interactions with the FDA continue to progress successfully, we should be in a position to finalize the study design for traditional approval for CMV prevention in the first half of 2014. With regard to the adenovirus program in September at ICAAC, Dr. Michael Grimley from Cincinnati Children’s Hospital presented data from what we believe was the first interventional trial in adenovirus infection. Adenovirus is one of many viruses responsible for common cold, but can lead to rapidly fatal disease in transplant recipient, particularly in children. There is no approved treatment. Study 202 was an exploratory trial, which compared brincidofovir once or twice weekly to placebo and 48 pediatric and adult HCT recipients who had detectable levels of adenovirus in their blood, but did not show signs or symptoms of adenovirus disease. The primary endpoint was treatment failure defined as progression to adenovirus disease or at least a one large increase in adenovirus viremia. Brincidofovir 100 milligrams twice weekly the same dosing regimens being studied in SUPPRESS, effectively reduced the levels of adenovirus in the blood to undetectable, particularly in patients who began the trial with the highest levels of adenovirus. The patients who received twice weekly brincidofovir also had a lower number of patients progressing to disseminated adenovirus disease. The low all-cause mortality observed in the twice weekly group may have been the result of the broad spectrum antiviral activity of brincidofovir, particularly in this patient population through our increased risk of multiple double-stranded DNA viral infections. We are currently exploring this hypothesis through additional analyses. For patients enrolled in Study 202, by definition, had evidence of an active viral infection, and therefore, it increased risk of potential drug related adverse events. Even in this complex patient population, there were no new safety findings for brincidofovir. They were similar rates of discontinuations for adverse events across the placebo and brincidofovir cohort. The SMMP allowed temporary dose interruptions with only subject, discontinuing the study for drug related diarrhea. From a safety lab perspective, there was no difference between the brincidofovir and placebo group and hematologic renal or liver enzyme changes during the study. Since presenting the data in September at ICAAC, we have initiated conversations with key opinion leaders and the FDA regarding next step to the adenovirus program and for our pediatric program in general. We learned from the Phase II trial that monitoring for adenovirus in the blood may not be ineffective means of detecting early disease. We’re also continuing to progress development of our commercial formulae for pediatric patients and anticipate submitting our pediatric plan to the FDA and European health authorities in 2014. Our strategies for demonstrating brincidofovir’s broad spectrum activity and for expanding potential patient populations follow two parallel track. The first is to piggyback assessments for other pathogenic double-stranded DNA viruses onto the required large pivotal trial and the second is to identify small proof of principle studies in diverse populations with unmet medical need. We are working closely with our scientific advisors to identify viral indication and potential trials. Preliminary data from the Phase 2 studies in CMV and adenovirus as well as over 400 patients from emergency INDs in the expanded access trial have also provided anecdotal, but supportive evidence of brincidofovir’s potential clinical benefit in BK virus infection, HHV-6, herpes simplex and others. In summary, we are excited to be actively enrolling SUPPRESS and to be moving towards our first approval of brincidofovir for the prevention of CMV in HCT recipients. We anticipate bringing more details on our second confirmatory trial in CMV prevention and solid organ transplant recipients to you in the first half of 2014. In addition, we’re continuing to review data from the large expanded access database from Study 350 and anticipate 2014 will bring presentations and publications on brincidofovir’s safety profile and any viral activity in acyclovir-resistant herpes simplex, in resistant and refractory CMV infections and in other viral infections. Thank you for your attention. I will now turn the call over to the operator for any questions. We’re also continuing to progress development of our commercial formulae for pediatric patients and anticipate submitting our pediatric plan to the FDA and European health authorities in 2014. Our strategies for demonstrating brincidofovir’s broad spectrum activity and for expanding potential patient populations follow two parallel track. The first is to piggyback assessments for other pathogenic double-stranded DNA viruses onto the required large pivotal trial and the second is to identify small proof of principle studies in diverse populations with unmet medical need. We are working closely with our scientific advisors to identify viral indication and potential trials. Preliminary data from the Phase 2 studies in CMV and adenovirus as well as over 400 patients from emergency INDs in the expanded access trial have also provided anecdotal, but supportive evidence of brincidofovir’s potential clinical benefit in BK virus infection, HHV-6, herpes simplex and others. In summary, we are excited to be actively enrolling SUPPRESS and to be moving towards our first approval of brincidofovir for the prevention of CMV in HCT recipients. We anticipate bringing more details on our second confirmatory trial in CMV prevention and solid organ transplant recipients to you in the first half of 2014. In addition, we’re continuing to review data from the large expanded access database from Study 350 and anticipate 2014 will bring presentations and publications on brincidofovir’s safety profile and any viral activity in acyclovir-resistant herpes simplex, in resistant and refractory CMV infections and in other viral infections. Thank you for your attention. I will now turn the call over to the operator for any questions.
Operator: At this time, I would like to open up the lines for Q&A. (Operator Instructions) Our first question comes from Katherine Xu with William Blair.
Katherine Xu – William Blair & Co. LLC: Hi. Good morning.
Kenneth I. Moch: Good morning, Katherine.
Timothy W. Trost: Good morning.
Katherine Xu – William Blair & Co. LLC: So first, I’m just wondering whether you could comment on the enrollment of SUPPRESS so far in the opening up the size initial enrollments, any feedback from the field and is it tracking your expectations?
M. Michelle Berrey: Yes. Thank you, Katherine. It’s Michelle. Good morning. The site initiations for SUPPRESS as well as our screening and enrollment are on track and progressing along our internal metrics, which should meet our timeline of data availability in mid 2015. We’ve had no surprises and anticipate things will continue along the current trajectory.
Katherine Xu – William Blair & Co. LLC: Okay. Michelle, can you distinguish for us all-cause mortality and non-relapse mortality? And are one of these or both you’re expecting your endpoints in SUPPRESS?
M. Michelle Berrey: Yes. So non-relapse mortalities are those not specifically attributed to the underlying rationale for the transplant is a secondary endpoint as is all-cause mortality.
Katherine Xu – William Blair & Co. LLC: Great. And then lastly, for the potential renal study, renal transplant study; is it – I don’t know whether you have enough evidence to actually show that you could have a effective endpoint, actually clinical endpoint to demonstrate activity against BK?
M. Michelle Berrey: Xu, it’s a great question on BK virus. We have evidence from the 201 Study, which was our Phase 2 Study for CMV prevention in stem cell transplant recipients that we had an increase in GFR and that was specific for those patients, who evidence a BK infection at baseline or at the time of enrollment in the study. So that was actually post-hoc assessment that was completed as part of our Phase 3 assessment to make sure that we didn’t have any evidence of nephrotoxicity; as we were conducting that analysis, we actually found a dose related improvement in renal function. That clearly was a surprising finding and one that was pursued through multivariate analysis, which showed that those patients with the greatest differential or the greatest improvement in renal function was in patients who were randomized to an active dose of brincidofovir and who had a baseline positive urine or blood for BK virus. The evidence with regard to the levels of BK virus in the blood I would say are not as robust, but clearly, not as significant, because of our desire to rely on clinical endpoints. So as we are conducting the SUPPRESS trial with an endpoint of CMV viremia, that’s considered a surrogate endpoint for actual clinical event, thus the need for a second confirmatory trial. For BK virus, our goal is to go directly to demonstration of improved renal function and potentially improved graft survival in this patient population. The incidence rates for BK virus in patients who received a renal transplant are approximately 20% in the first year. After renal transplant, the rates of progression to BK associated nephropathy in that population are less well described, but clearly those patients who begin to advance to BK nephropathy have a much increased rate of loss of the graft. So I guess the summary of that is we would be actually more interested in demonstration of those clinical endpoints than on any potential surrogate markers for BK virus.
Katherine Xu – William Blair & Co. LLC: Great. Thank you.
M. Michelle Berrey: Thank you.
Operator: Our next question comes from David Friedman with Morgan Stanley.
David Friedman – Morgan Stanley & Co. LLC: Question, so just, first question is just to confirm the next trial that you run will be geared towards CMV alone or is there discussion around how to work in potentially some of these other virus targets? And then the second question is, have you considered looking outside of the transplant world, and if so, what are some of those areas of interest? Thanks.
M. Michelle Berrey: Thanks, David. So to address your first question, I’d actually like to go back to the SUPPRESS trial, and then move on to the discussion of other trials. So the SUPPRESS trial again, the primary endpoint is the reduction of CMV viremia, which leads to initiation of CMV specific preemptive therapy. However, there are multiple secondary endpoints within the SUPPRESS trial, which we’ll be collecting prospective data on other double-stranded DNA viruses, including HHV-6, BK virus et cetera. Those viruses are less well described from an epidemiologic perspective. So the absolute reduction is difficult to estimate. But we are collecting both viral specimens blood and body fluids, as well as any potential biopsies. In addition, we are prospectively collecting clinical data. One example of that is the daily assessment of mental status, which has been shown to be a higher rate of complications and in patients who are receiving transplants, often attributed to opioids are prolonged hospitalizations, but which has been shown in prospective data out of Seattle to be highly correlated with reactivation of HHV-6. So the SUPPRESS trial is the largest multi-center prospective placebo-controlled trial to be conducted in HHV-6 infection. So in addition to CMV, certainly, our most important endpoint in this trial, we will be looking at multiple other double-stranded DNA infections, specifically, those clinical endpoints and we do have a possibility of showing statistically significant reductions for many of these other viruses. As I mentioned, the BK virus data from our Phase 2 trial in stem cell transplant recipient did show improved renal function in the stem cell transplant patients and provided us with the first evidence of potential clinical benefit for brincidofovir against BK virus. So that is something that is obviously, also being incorporated in the SUPPRESS trial, but which certainly made the renal transplant population that much more attractive for us as a potential population moving forward for traditional approval. So looking at that population specifically for multiple viral endpoints is something that we’re in active discussions with the FDA.
David Friedman – Morgan Stanley & Co. LLC: Great, thank you.
Operator: (Operator Instructions)
Kenneth I. Moch: Hold on.
M. Michelle Berrey: I’m sorry, the second – David’s second question was in other patient populations, we are in discussions with multiple medical advisors and external groups looking at other patient populations, as we’ve discussed, certainly, the numbers of patients – the number of individuals who have both an absolute immunosuppression related to either HCT or a solid organ transplant, as well as those patients with a relative immunosuppression. So the patients who are receiving biologics for autoimmune or other diseases are clearly of interest, as the patients are at increased risk for multiple double-stranded DNA viruses. We are collecting a list of those potential small proof-of-principle trials and anticipate being able to initiate one or more of these small, even investigator initiated trials in the coming 12 to 18 months.
Kenneth I. Moch: Look, who is the next question in?
Operator: Okay. (Operator Instructions) Our next question comes from Marc Frahm with Cowen and Company.
Marc Frahm - Cowen and Company: Hi, yes. I was wondering if you could talk a little bit more about what the formulation work that’s going to need to be done for pediatric development and then just kind of your current thoughts on that trial design?
M. Michelle Berrey: Good morning. so our pediatric formulation, we have been progressing in those trials to-date with those resolution and prevention, we do anticipate having our final commercial formulation available in the first part of 2014, which would require a relative viral availability study and there would be the only confirmatory PK requirement to follow on that that study to demonstrate the availability of a similar concentration of brincidofovir following the administration of that new formulation. The data available to-date in pediatric subject both PK and safety data would likely be sufficient in order to expand our first indication and since our transplant recipient, an adult only, as will be studied in the SUPPRESS trial to include pediatric transplant recipient. But kind of the disease is similar; there is not a requirement to conduct a second control trial in that patient population. Again, as soon as we have our commercial formulation for feeds in hand will have a Phase 1 study and then confirmatory PK and any recent studies moving forward.
Marc Frahm - Cowen and Company: Okay, thank you.
Kenneth I. Moch: You are welcome.
Operator: And I’m not showing any further questions at this time, I’d like to turn the conference back over to Kenneth Moch for closing remarks.
Kenneth I. Moch: Yes, just one comment from Tim Trost before we close.
Timothy W. Trost: Yes. Hi, everyone. I just wanted to clarify, I evidently misspoken the – my first sentence out of my mouth, the correct amount on the balance sheet as of September 30, 2013 for cash, cash equivalents and short-term investments is $116.9 million, not $106.9 million, kind of an important clarification. That extra $10 million is important for the record.
Kenneth I. Moch: Thank you, Tim.
Timothy W. Trost: Yes.
Kenneth I. Moch: Well, thank you all for joining us this morning. Obviously, there’s a lot going on at Chimerix and we look forward to keeping you apprised of our progress, either in one-on-one discussions as appropriate at conferences or through these quarterly investor update calls. We appreciate your interest and we look forward to talking with you in the future.
Operator: Ladies and gentlemen, that concludes today’s presentation. Thank you once again, for your participation. You may now disconnect and have a great day.